Operator: Good afternoon, and welcome to AudioEye's Fourth Quarter and Full Year 2024 Earnings Conference Call. Joining us on today's call are AudioEye's CEO, Mr. David Moradi and CFO, Ms. Kelly Georgevich. Following their remarks, we will open the call for questions from the company's publishing analysts. I would like to remind everyone that this call will be recorded and made available for replay via a link available in the Investor Relations section of the company's website at www.audioeye.com. Before I turn the call over to AudioEye's Chief Executive Officer, the company would like to remind all participants that statements made by AudioEye management during the course of this conference call that are not historical facts are considered to be forward-looking statements. The Private Securities Litigation Reform Act of 1995 provides a safe harbor for such forward-looking statements. The words believe, expect, anticipate, estimate, confident, will and other similar statements of expectation identify forward-looking statements. These statements are predictions, projections or other statements about future events and are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could materially differ because of factors discussed in today's press release, in the comments made during this conference call and in the Risk Factors section of the company's annual report on Form 10-K, its quarterly reports on Form 10-Q and in its other reports and filings with the Securities and Exchange Commission. Participants on this call are cautioned not to place undue reliance on these forward looking statements, which reflect management's belief only as of the date hereof. AudioEye does not undertake any duty to update any correct or correct any forward looking statements. Further management's remarks today will include certain non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures to these non-GAAP financial measures is available in the company's earnings release or otherwise posted in the Investor Relations section of its website at www.audioeye.com. Now, I'd like to turn the call over to AudioEye's Chief Executive Officer, Mr. David Moradi. Sir, please proceed.
David Moradi: Thank you, operator, and thank you to everyone joining us today. My voice is a bit off today. I have the flu, but I'm going to do my best. A year ago, on our fourth quarter 2023 earnings call, we discussed significant improvements over the last few years. I joined the Board of Directors in 2019 to address operating efficiency and strategy. In 2019, gross margins were in the mid-50s, adjusted EBITDA margins were in the mid negative 60s and revenue per employee was in the low $100,000 range. I'm pleased that our operating efficiency continues to improve with the fourth quarter producing record revenue, gross margins, adjusted EBITDA and free cash flow using adjusted EBITDA minus CapEx. In the fourth quarter, gross margins improved to 80% and adjusted EBITDA margins improved to a record 24%. Revenue per employee continued to expand, reaching over $330,000 in the fourth quarter. We expect another great year in 2025 with strong growth and record adjusted EBITDA margins, which we will discuss shortly. In addition to producing top-tier SaaS metrics, we provide a best-in-class product that gives clients 300% to 400% more protection against valid legal claims than any other product in the industry. We continue to invest in our product suite and have significantly increased our AI automated detection. An analysis of recent data shows we can automatically detect approximately 500% more issues than other solutions on the market. Last week, we released our 2025 Digital Accessibility Index, which involved reviewing 15,000 websites across key industries, including education, finance, government, healthcare, hospitality, software and retail. Our new study found an average of 297 accessibility issues per page, a substantial increase from the 37 issues per page found in AudioEye's 2023 index. The eightfold increase in issues detected is primarily due to improvements in our automated testing capabilities from two years ago. The European Accessibility Act or EAA is quickly approaching and will take effect in June of 2025, requiring digital products and services, including websites, e-commerce and mobile apps to meet accessibility standards across the EU. Businesses operating in the EU must ensure compliance or risk penalties. To ensure we capture demand from the EAA, we have built a team in Europe to address the EU market, including new account executives in Europe. We are planning for further expansion in the EU in 2025 and beyond. We expect that demand will look like the GDPR rollout in 2018, which scaled over five years and now has significant adoption. In the United States, there have been questions about what the new administration means for digital accessibility. On February 5, the Office of Personnel Management issued a memo stating that existing disability laws remain enforced and federal agencies should not terminate or prohibit accessibility or disability related accommodations. Our business has had no impact from the new administration and we have limited revenues in the federal government. Additionally, there is currently no indication that the DOJ will rollback requirements under Title 2 of the ADA. We continue to see record demand and lead generation with private lawsuits continuing to be a notable driver for demand. Lastly, I welcome Jim Hawkins to our Board of Directors. Jim has an impressive track record of driving growth and operational success that will be very beneficial as we expand. From 2004 to 2018, he served as President and CEO of Adas Medical, a global leader in medical devices and software, where he led revenue growth from $37 million to $530 million, and increased market capitalization from $68 million to $1.1 billion a 1500% increase. Jim currently serves on the Board of Directors of OSI Systems and IRadimed Corporation. Moving on to guidance. We expect growth in revenue and adjusted EBITDA in 2025, with acceleration picking up in the second half of 2025 from EU and continued U.S. demand. For the first quarter of 2025, we are guiding revenue between $9.7 million and $9.8 million. With Social Security taxes and other beginning of year expenses impacting Q1, we expect to generate adjusted EBITDA between $1.85 million and $1.95 million and adjusted EPS between $0.14 and $0.16 per share. For the full year, we are guiding revenue between $41 million and $42 million for a growth rate of around 18% at the midpoint. We expect adjusted EBITDA between $9 million and $10 million representing 41% growth at the midpoint. We expect adjusted EPS between $0.70 and $0.80 per share. We also expect to continue to be a Rule of 40 company going forward. I'll now turn the call over to AudioEye's CFO, Kelly.
Kelly Georgevich : Thanks, David. Revenue again hit record levels with Q4 2024 revenue at $9.7 million, a 24% increase from Q4 2023 and a 9% increase sequentially from Q3 2024. On a full year basis, in 2024, our revenues grew 12% to $35.2 million from $31.3 million. When breaking this down by channel, the partner and marketplace channel includes all revenue from our SMB-focused marketplace products and revenue from a range of partners who deploy these same products for their SMB customers. For the fourth quarter of 2024, our partner and marketplace channel grew 14% year-over-year and represented approximately 58% of ARR. For the full year of 2024, this channel's revenue grew 12% from $18 million in 2023 to $20.2 million in 2024. We continue to see an expansion of existing customers and new partners engaging with AudioEye contributing to this channel's growth. AudioEye's enterprise channel consists of our larger customers and organizations, including those with non-platform custom websites who generally engage directly with AudioEye sales personnel for pricing and solutions. In Q4 2024, the enterprise channel contributed 42% of ARR. Annual recurring revenue or ARR at the end of the fourth quarter of 2024 was $36.6 million a 17% increase over ARR at the end of the fourth quarter of 2023, an increase of 400,000 sequentially. On December 31st 2024, our customer count was approximately 127,000, an increase from 126,000 customers on September 30th 2024, and an increase of approximately 17,000 from December 31st 2023. Additions in both the enterprise and partner marketplace channels drove the increase in customer count. Gross profit for the fourth quarter was $7.8 million or about 80% of revenue compared to $6.2 million or 78% of revenue in Q4 of last year. For the full year 2024, our gross margins were approximately 79% with gross profit increasing from $24.3 million in 2023 to $27.9 million in 2024. With the $3.9 million increase in revenue in 2024, cost of revenue only increased by $300,000 several inputs factor into cost of revenue, including web hosting, customer support, and other costs directly related to product delivery. Operating expenses in the fourth quarter of 2024 increased $2.4 million to $9.1 million from $6.7 million in the same quarter last year. This increase was primarily driven by non-recurring or non-cash items, including additional stock compensation of $700,000, litigation expense of $1 million and additional investment in selling and marketing. On a full year basis, operating expenses increased 3% or approximately $1 million to $31.3 million also driven by increases in employee stock compensation of $700,000, litigation expense of $2.1 million and approximately $600,000 of investing in sales and marketing offset by efficiencies in R&D. Our total R&D spend in Q4 was approximately $1.8 million with approximately $400,000 reflected as software development costs in the investing section of the cash flow statement. This was on par with Q3 2024 R&D investment. The total R&D spend was around 18% in Q4 2024 revenue versus 22% in Q4 2023 and R&D spend was 19% of our full year 2024 revenue versus 29% for 2023. Net loss in the fourth quarter of 2024 was $1.5 million or $0.12 per share compared to a net loss of $500,000 or $0.04 per share in the same year ago period. On a full year basis, net loss for 2024 was $4.3 million or $0.36 per share compared to a net loss of $5.9 million or $0.50 per share in 2023, an improvement of $1.6 million. In the fourth quarter of 2024, we again achieved record profitability with adjusted EBITDA of approximately $2.3 million or $0.18 per share compared to an adjusted EBITDA of $1.3 million or $0.11 per share in the same year ago period. On a full year basis, we produced record adjusted EBITDA of approximately $6.7 million or $0.55 per share compared to $1.3 million or $0.11 per share in 2023. This dramatic increase in adjusted EBITDA over the prior year's comparable period was driven by $3.9 million of revenue growth and reductions in non-GAAP expenses by approximately $1.5 million. In the fourth quarter of 2024, we generated $1.9 million of free cash flow calculated as adjusted EBITDA of $2.3 million plus $400,000 in software development costs, an improvement of $1 million from the fourth quarter of 2023. We ended Q4 2024 with $5.7 million of cash and cash equivalents. For the full year 2024, adjusted free cash flow was $4.9 million versus negative $600,000 in 2023. In the first quarter of 2025, AudioEye's Board of Directors authorized a repurchase of up to 12.5 million of the company's outstanding shares of common stock through January 2027. With cash flows expected to increase dramatically, we believe share repurchases offer an attractive way to deploy excess capital. With that, we open up the call for questions. Operator, please give instructions.
Operator: Thank you [Operator Instructions] And our first question comes from Joshua Riley with Needham. Please state your question.
Joshua Riley : All right. Well, thank you for taking my questions and nice job on the quarter here. Maybe just starting off on the EBITDA guidance for the year of $9 million to $10 million. Can you just help us get some more details around whether that includes all of the sales investments that you would be making in Europe to ramp that opportunity? And then maybe also does that contemplate all the sales investments you'd be making to ramp the U.S. opportunity? And if you begin to outperform in terms of demand throughout the year, would that lead you to make additional sales hires as the year progresses?
Kelly Georgevich : Yeah, I can take that. Hi. The guidance does suggest that it does build out what we think we need for additional sales and marketing investment and the $9 million to $10 million we are investing in Europe as David mentioned. I think there is additional opportunity to invest in Europe if we see, additional demand there. I think that could drive up our revenue and potentially investment in that space. But, yes, our expenses do account for what we think we need to invest in selling and marketing in 2025.
Joshua Riley : Got it. And then in terms of…
David Moradi: In terms of start to ramp up, I think we'll be a lot more aggressive. I just don't want to I don't want to say that without knowing right now. We're seeing a lot of signs. It's starting to happen, but I don't really want to go out there on a limb and say we're going to aggressively hire 25 salespeople unless we see all the signs that show that.
Joshua Riley : Understood. That's helpful. And then in terms of bookings from the partner channel, I know that, for example, CivicPlus hired a number of reps specifically to kind of tackle the opportunity with you guys. I guess maybe how are -- in terms of the Partner channel, is the government versus non-government opportunities ramping consistent with what you expected? And maybe just kind of give us some more color on what you expect in terms of that channel for 2025.
David Moradi: Sure. Yes. They've implemented a very aggressive go-to-market plans, as you know, to capitalize on the Title II opportunity. We think these plans are going to contribute real growth in the second half starting this half that goes into '26 and '27, and we have not seen any kind of slowdown in that or their plans with the new administration.
Joshua Riley : Got it. And then maybe just last question for me. That statement that was put out on February 5 that you noted in the prepared remarks. I guess, is that consistent? Can you give us any like historical basis for when these entities put out this type of information, is that kind of what the customers ultimately follow moving forward or how should we think about how that statement may influence customer activity here going forward?
David Moradi: This is for the federal government. I don't know if any of us have seen what is currently happening in the new administration. So there's no real benchmark for this. But this is -- those statements from OPM are new, and I don't think we have any contacts historically of those. But we haven't seen -- just broadening out here, we haven't seen anything saying disability rights are at risk. Actually, we're seeing the opposite, the recent statement from OPM said that the previous administration conflated DEI with accessibility and that accessibility should never have been lumped into DEI. So what they're going after to me seems to be what they view as discriminatory hiring practices, not disability rights. I haven't seen anyone talking about getting rid of curb cuts for wheelchairs or accessibility for websites.
Operator: Your next question comes from Zach Cummins with B. Riley Securities. Please state your question.
Zach Cummins: Yes. And David, I appreciate you powering through, I hope to hope you feel better soon from the flu. Just starting off, on the Enterprise side, I mean, can you speak about just the trends that you're seeing there? I know that's been a pretty big bright spot throughout 2024. So just any update on trends on that Enterprise channel and any potential investments you're thinking of making there as we go throughout 2025.
Kelly Georgevich: Yes, Zach, I can take that. We are seeing strong growth in enterprise. We're seeing record leads, as David mentioned, and we're seeing close rates improving. So that's been a good channel. I know we invested in that the beginning in 2024 further, and we are seeing good results from the enterprise channel. So yes, feeling good there. We also are seeing growth from reseller and decent growth overall on the reseller side and we expect both to contribute to 2025.
Zach Cummins: Got it. And my one follow-up question is really just around the European accessibility opportunity. David, can you speak to -- have you just seen a pickup in terms of inbound demand or just what are some of the early leading indicators that you're seeing with the deadline fastly approaching here in the coming months?
David Moradi: Yes. It's a really exciting opportunity with the EU. It's not often that you see a mandate for digital accessibility happening in a whole continent. So we already have a couple of folks in place. We're seeing pipelines build pretty dramatically right now. We're seeing deals going from lead to SAD to close one, so that is happening. And we expect a lot more momentum to continue this year as the year progresses. I haven't modeled in a lot of revenue for the year, but we believe it can really exceed to the upside if we execute.
Zach Cummins: Best of luck with the rest of the quarter.
Operator: Your next question comes from Richard Baldry with ROTH Capital Partners. Please state your question.
Richard Baldry: Can you talk about any activities around adding new partners, either in the U.S. or maybe Europe's more active because of sort of the approaching deadline? How do we think about your ability to get increase to leverage sales over time? Thanks.
David Moradi: In the EU, we're speaking to a number of partners at the moment. So I would expect that there'll be additional partners we add over time there.
Richard Baldry: And overall, how would you view sort of the balance or expected near-term balance between buybacks versus debt reductions? Maybe the stock pulled back this hard, do you think it's more on the buyback side or how do you think about that?
David Moradi: Right. We're going to generate quite a bit of cash as the year goes on. So I think it'd probably be a pretty good use of money to buy back stock especially around current levels. Last time we bought it was around 5 and the business is a lot better now today than back then. We generate a lot more cash. And so we think it's a good use of proceeds.
Richard Baldry: And last for me, I'm not sure if you already addressed this, but any discussion on retentions or gross retention, net retention, anything like that for '24 compared to maybe '23?
David Moradi: I'll let Kelly take that, but I think it's been pretty similar overall, pretty high retention rates generally. Our GRR is around the 90% range overall.
Kelly Georgevich: Yes, I think that's fair. I think we've continued to see good GRR and NRR metrics out there. I don't think a notable change year-over-year, I think, in general, we just held solid throughout.
Richard Baldry: Right. Maybe last for me. If Europe was to sort of start moving faster than you currently anticipate, what -- are there any sort of tougher friction points to keep up with that? What would be the hardest part to keep up with that?
David Moradi: I didn't hear the first part of the question, sorry.
Richard Baldry: Yes, sorry. If Europe was to pick up maybe faster than you thought, what would be the toughest sort of friction point to keep up with that or do you feel like you're well scaled to keep up to any acceleration that sort of a relatively straightforward ability to scale?
David Moradi: Always hiring good salespeople. You're going to have the best product, but you really need great salespeople to sell that product. So that's always a challenge and you're not going to hit 100%. I think the best people probably hit around 70%, 75% when they hire, so that is the continuous challenge. It's always hiring of salespeople and that would be the friction point.
Operator: Your next question comes from George Sutton with Craig-Hallum. Please state your question.
George Sutton: David, I appreciate the thought about GDPR in terms of how that rolled out. So with that as context, as we're talking about 18% guided growth for 2025, as we look out into '26, is my assumption is that you would anticipate an acceleration, but I wanted to get your thoughts on that.
David Moradi: I think that's fair. I don't think we're going to give any numbers right now, but I think that's fair. And also, just no one's asked us, but I'll say it, when determining the guidance, we consider a few factors. And right now, we are considering the economy, economic conditions seem like they could get a little worse here with all the talk of tariffs and federal budget cuts. So I don't think we're calling for a deep recession, but I think it's prudent to incorporate some slowdown in how we're thinking about building models. I'm sure you're hearing other companies say the same thing. I mean software has been tough now since 2022, you've seen a lot of tightness there. We've been outgrowing the accessibility market in many software companies while improving our metrics, but I thought it would be helpful to give that context of how we're arriving at the guidance.
George Sutton: Got you. So relative to the DOJ enforcement of the new rules, any sort of feedback in terms of what you've been hearing? Are we still too early? I think that becomes an important characteristic of the story.
David Moradi: I don't think they're going to enforce. I think they leave the rule on the books. And I think it's private litigation. And we've already seen the first case very recently in Louisiana on this. And so I think it's going to be private enforcement. I believe it was Louisiana, but we have to look that up. But I think that will be the driver just like website accessibility on Title III.
George Sutton: Okay. And then finally, you had made the acquisition of ADA site compliance, which gave you an audit capability. I'm just curious, has that been rolled out? Are you seeing more cases where you're adding an audit to your opportunity?
David Moradi: We've had audit capability for a long time. Are we upselling customers? Yes. That is the goal and that will be over the next year. So as the contracts roll off, Kelly, anything to add to that?
Kelly Georgevich: No, I think that's right. Just on ADA site compliance in general, we have integrated them quite rapidly. So we have the teams integrated. We're moving customers over AudioEye contact that's going well. We're seeing good upsells there. So more of acquisitions because of their customers, and we think they're good fit with AudioEye and from what we're seeing to date is trending to what we expected for that acquisition, which is great.
Operator: Thank you. Your next question comes from Scott Buck with H.C. Wainwright. Please state your question.
Scott Buck: I believe this was the highest level -- quarterly level of selling and marketing expense in about 3 years. I'm curious if you could give a little color on what kind of return you're seeing on the increased marketing spend.
Kelly Georgevich: Yes. Marketing spend and selling expense, we can ramp as we're seeing ROI. And so as I mentioned, we're seeing really good leads come through. We're seeing great closed run rates come through and so we thought it was the right thing to do to invest in selling and marketing. And so I think we'll continue to invest in selling and marketing in 2025, but make sure that ROI is there. So essentially additional investment because we see good returns for that, and we'll continue to do that as long as we see those returns.
Scott Buck: Great. And assuming you see even stronger ROI in the first half of '25, could you potentially push more money into selling and marketing and perhaps we -- at the expense, I guess, of adjusted EBITDA margins. Just kind of getting -- trying to get a sense of how you're prioritizing capital allocation, right, reinvesting the business, it sounds like buybacks are an option. Just trying to get a better sense of what you're thinking about.
Kelly Georgevich: Yes, we've been able to find that efficiency in selling and marketing. So I do think we'll keep investing in it, but we want to make sure that our ROI is there. So potentially, we could invest more, but I think we would expect to see additional revenues come with that. But I think we'll balance that, but we want to be strategic and we do like that adjusted EBITDA margin and so we'll balance both. But I think we could keep investing in sales and marketing if we see the ROI.
David Moradi: EBITDA [indiscernible] a little bit of a lag that EBITDA would go up with more investment if we see those metrics.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Moradi for his closing remarks.
David Moradi: Thank you, everyone, for putting up with my voice today. I appreciate your time, and we'll see you on the next call.
Operator: Thank you. And before we conclude today's call, I would like to remind everyone that a recording of today's call will be available for replay via a link available in the Investor Relations section of the company's website. Thank you for joining us today for AudioEye's fourth quarter and full year 2024 earnings conference call. You may now disconnect.